Operator: Greetings and welcome to Kandi Technologies’ Full-Year 2017 Financial Results Call. At this time, all participants are in a listen-only-mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Kewa Luo. Ma’am, you may begin.
Kewa Luo: Thank you, Shery. Hello, everyone, and welcome to Kandi Technologies Group, Inc. full-year 2017 earnings conference call. The company distributed its earnings press release earlier today and you can find a copy on Kandi’s website at www.kandivehicle.com. With us today are Kandi’s Founder, Chairman and Chief Executive Officer, Mr. Hu Xiaoming; and Chief Financial Officer, Mr. Bing Mei; and the President of Kandi Electric Vehicles Group, the JV Company, Mr. Zhu Fen. Mr. Hu and Mr. Mei will deliver prepared remarks followed by a question-and-answer session. Before we get started, I’m going to review the Safe Harbor statement regarding today’s conference call. Please note that the discussions today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Security Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company’s results may differ materially from the views expressed today. Further information regarding these and other risks and uncertainties are included in the company’s Annual Report on Form 10-K for the fiscal year ended December 31, 2016 and in other documents filed with the U.S. Securities and Exchange Commission. Kandi does not assume any obligation to update any forward-looking statements except as required under applicable law. As a reminder, this conference call is being recorded. In addition, an audio webcast of this conference will be available on Kandi’s investor relations website. I will now turn the call over to Kandi’s Founder, Chairman and CEO, Mr. Hu Xiaoming.
Hu Xiaoming: [Interpreted] Greetings, everyone. Thank you for joining our full-year 2017 earnings conference call. Today, we have our new Director, the President of Kandi Electric Vehicles Group, The JV Company, Mr. Zhu Fen also join the meetings. Now let him say hello to everyone.
Zhu Fen: [Interpreted] Hi, everyone. I’m Zhu Fen, the new Director of Kandi Technologies and the President of Kandi Electric Vehicles Group. It’s my honor to be the new Director of Kandi, and I’m very glad to join today’s call to discuss and listen to investors’ opinion and suggestion. I believe your input will provide great help on the development of Kandi Electric Vehicles Group. Thank you.
Hu Xiaoming: [Interpreted] Thank you, Mr. Zhu. 2017 was still a challenging year for Kandi. Our business had been heavily impacted from the confusion surrounding the reusable battery exchange model. However, Kandi has been working diligently to overcome the difficult time and resolve the issues. We are confident to successfully execute our long-term business model in the renewable energy industry that is full of opportunities in the future, and hopping to be back in the major league among EV industry players soon. Although, the EV unit sales in 2017 did not meet the expectations, the company has had modest progress in the product research and development. To name a few, the pure electric SUV model K26 has been upgraded to be EX3, which will be exhibited at the upcoming launch event in March 26, where there will be more than 100 distributors and over 10 media representatives attending. Furthermore, Hainan facility’s model K23, production will commence in March 28. We believe these new products will strengthen our company’s competitiveness as well grow our market share. In my personal view, the loss in 2017 was temporary and strategic. What we have done in the past year will lay a strong foundation to prepare for the future development. Being the frontrunner in the pure EV industry, we are not only the pure EV products manufacturer, but also an advocate of urban car-share with significant influence in the development of China’s urban travel ecosphere. Whether it is the business model or the market share, Kandi is packed with solid fundamentals excelling its peers. The management team is confident in our future growth. Now I would like to turn the call to our Chief Financial Officer, Mr. Mei Bing, to give you more details on our financial highlights. After that, we will take the questions. Thank you.
Mei Bing: Thank you, Mr. Hu, and hello to, everyone, on the call. Now I would like to provide a brief overview of our financial results for the full-year 2017. Please note, all numbers I will discuss today are in U.S. dollars unless otherwise noted. First, let me walk you through the full-year financial results. Total net revenues in 2017 were $102.8 million, a decrease of $26.7 million, or 20.6% from $129.5 million in 2016. The decrease in revenue was mainly due to the late EV parts demand in the first-half 2017 from the JV Company. During the second-half of 2017, we gradually resumed the normal production and extended losses in the first-half year to profits generated in the second-half year. EV parts sales were approximately $97.4 million in 2017, or 94.7% of our total net revenue, a decrease of $22.7 million, or 18.9%, as compared with 2016. Our cost of goods sold in 2017 were $88.5 million, a decrease of $23.3 million, or 20.9% from $111.8 million in 2016. The decrease was primarily due to the corresponding decrease in sales, resulting from weak demand from our EV parts by the JV Company. Gross profit in 2017 were $14.3 million, a decrease of $3.4 million, or 19.1% from $17.7 million in 2016. Gross margin in 2017 increased to 14% from the 13.7% in 2016. The moderate increase of gross margin will be to increase the gross margin of off-road vehicles sales in the year 2017. Total operating expense in 2017 were $40.4 million, a decrease of $8.3 million from $48.7 million during the last year. Total operating expense include $27.6 million in R&D expense, as compared with $26.5 million in 2016. Net loss in 2017 were $28.3 million.compared with net loss of $6.5 million in 2016. The increase in net loss was primarily due to decrease in revenue and the gross profits, R&D expense of $27.6 million to develop a new EV model and the increase joint venture companies net loss. Non-GAAP net loss in 2017 were $23.2 million, a decrease from net income of $4.6 million in 2016. The decrease in net income non-GAAP was primarily due to the decrease of revenue and the gross profits and the joint venture company’s net loss. Let me touch on the JV’s financials now. For the full-year 2017, the JV Company’s net sales were $192.7 million, gross profit was $3.6 million, and the net loss was $22.7 million. Gross margin in 2017 was 1.9%, as compared with 10.8% in 2016. The margin decrease in 2017 was mainly due to the decrease in EV selling price on average. During 2017, the JV Company sold a total of 11,437 units of EV products, as compared with a total of 10,148 units sold in 2016, an increase of 1,289 units, or 12.7%, of which, the JV Company sold 7,416 units of a model K12, 3,939 units of model K17, and 82 units of other models in 2017. We account for our investments in the JV Company under the equity method of accounting, as we had a 50% ownership interest in the JV Company. As a result, we recorded 50% of JV Company’s losses for $11.3 million for the full-year 2017. After eliminating intra-entity profits and losses, our share of the after-tax profit and loss of the JV Company was $11.6 million for the full-year 2017. Next I’ll review the company’s cash flow. In 2017, cash used in operating activities was $3.2 million, as compared to $49.5 million in 2016. The major operating activities that provided cash for 2017 were increasing accounts payable of $66.8 million net of assignment of a note receivable from JV Company and the related parties to suppliers to set – to settle accounts payable of $44.8 million. And the settlement of accounts payable with the notes payable of $31.5 million offset by an increase in accounts payable of $3.8 million, the purchase of construction in progress and a decrease in advances to suppliers and the prepayment in the prepaid expenses of $23.1 million. The major operating activities that used the cash for 2017 was a net loss of $28.3 million, an increase in receivable from the JV Company of $53.6 million, net of settlement of due from JV Company and the related parties with notes receivable of $53.6 million. Cash provided by investing activity for 2017 was $2.7 million, as compared to cash provided by investing activity of $1 million for 2016. Cash provided by investing activity for 2017 was primarily the result of the withdrawal of short-term investments of $4.6 million. Cash used before investing activity for 2017 was primarily the result of purchase of a construction in progress of $0.7 million and the purchase of property, plant and equipment of $0.8 million. Cash used in the financing activity for 2017 was $7.3 million, as compared to cash provided by financing activity of $44.8 million for 2016. Cash provided by financing activity for 2017 was primarily the result of proceed from short-term loan of the $32.3 million and the proceed from notes payable of $23.3 million. Cash used in the financing activity for 2017 was primarily the result of repayment of a short-term loan of $35.7 million, and the repayment of notes payable of $28.7 million. That’s it from me, Kewa.
Kewa Luo: Thank you, Mr. Mei. Operator, we’re now ready for questions.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question is from Karl Scherer, Rang Ring Consulting. Please proceed.
Karl Scherer: Yes, hello. Hello, can you hear me?
Kewa Luo: Hello, yes.
Karl Scherer: Yes, can you hear me?
Kewa Luo: Yes, I can hear you. Go ahead.
Karl Scherer: Good. Considering Kandi had no production for the first seven months of 2017, but still came in this – just over 11,000 EVs for the last five months. Why did the company ignore its past two years of precedence and not give shareholders any early January PR expressing this relatively strong pick up to the year-end. And additionally, will you start giving monthly numbers sometime this year, or will shareholders have to wait for another year before institutions and analysts do require monthly reporting start paying attention to the stock?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] This question has been discussed for many times. But once again, one-month sales figure can now represent the company’s optional and future development. Additionally, the JV Company’s sales have its own special characteristic. It changes due to its seasonality. In some months, it can be more. In some months, it can be less. We do include the monthly sales figures can be misleading. Therefore, we don’t think it’s necessary to disclose each month’s EV sales figure.
Karl Scherer: But given the fact that we’re already close to the end of the first quarter. Do you have any indications about how sales are progressing in 2018? And does the company have any guidance for sales for 2018?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] This year, our JV Company has a goal of achieving 20,000 EVs.
Karl Scherer: Thank you. I wish you well this all your high intentions, and I’m impressed by the positive outlook. I would have one more question. You mentioned the losses were strategic in nature, how do I have to understand this?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] That’s because the R&D expenses for the K23 has occurred. So if you don’t include that last year actually it was 30 plus and these cars in this year is going to pick up the sales. So we think that the temporary loss strategically prepare for this year’s sales.
Karl Scherer: Excellent. All the best for successful 2018.
Kewa Luo: Thank you.
Karl Scherer: Thank you.
Operator: Our next question is from Arthur Porcari with Corporate Strategies. Please proceed.
Arthur Porcari: Hello Mr. Hu and all. I got on the phone a little bit late just when they were mentioning who else was on the phone, Kewa, can you tell me who else is – management is in attendance, a Director?
Kewa Luo: He is our new Director, Mr. Zhu Fen. He is the President of Kandi Electric Vehicles Group, The JV Company.
Arthur Porcari: Okay. Thank you very much. Well, actually I had a little bit of background, it actually included you admitted that’s why I’m glad I at least got that portions. So I’m going to still give a little background and then I have a couple of follow-up questions that I may have to modify a little bit here. Our 50% JV partner Li Shufu, not the public company Geely Holdings, the Li Shufu, I mean through Geely Auto,but Li Shufu Geely Holdings, one ofChina’s top five or 10 wealthiest men as company promised the U.S. financial media likely with its personal investment up to $9 billion stock acquisition for almost 10% that they were been and $4 billion a few weeks before that were tracking shares security ownedside as a percent of all the auto, most of is now. U.S. financial media hasn’t covered probably second only to Jack Ma lately in the United States. Even though he personally paid more than twice as much for Kandi’s JV stake back in 2013 then the total cash you paid for London Black Cab, Lotus and Proton, Indonesia’s largest automaker together, Kandi has never mentioned any of Li Shufu U.S. articles. And now I guess, Fen Zhu is, I guess, a representative they came by way of Geely’s, his background shows that he has been involved with Geely’s very 2000s. But I’m not going to say that to Mr. read that portion. I have a couple more background piece and try, the actual question?
Kewa Luo: Okay. [Foreign Language] Go ahead, Mei.
Mei Bing: Okay. Considering that Kandi’s owns 50% JV ownership, which I assume the impression would soon we go public from past announcement to some former fashion and 43% at Geely Auto, the only U.S. traded currently public companies. The Li Shufu can’t have any influence overwhelm the thing speculators would start being paying attention, as well as investment bankers. I’m curious as to whether the company or the JV and maybe as President of the JV, Fen Zhu, can add to this. And have any contacts by any investment bankers. And if, in fact, when that happens, we’ll have to stop it right there, as the company being contacted by any large investment bankers about going public.
Kewa Luo: Okay. [Foreign Language]
Arthur Porcari: I thought I had a question in there, but I’ll just carry on I wish you’re waiting for me to come back. Okay, when Fen Zhu was added to the Board of Director just as recently this past December, there was no press release or anything. In considering his long-term relationship with Li Shufu and Geely, it was kind of surprising that those of us who didn’t take the time to read the proxy, because that’s the only place, it became obvious as to why he would join Kandi’s Board of Directors and why the company didn’t put out a press release at that time, some of you feel statue obviously it’s very high in the EV industry and the fact that Li Shufu would take one of his produce ace and bring them on Board.
of :
Kewa Luo: Okay. That’s a very long question. I will just summarize, okay? [Foreign Language]
Hu Xiaoming: [Interpreted ] Okay, to answer your first question from Mr. Hu, I believe the information about the new Directors are thoughtfully disclosed in SEC filings. And I don’t think it’s very necessary to make a simple announcement, However, I guess, the honest, I don’t have the experience. I just think it will make the positive impact on the market. So thank you for your suggestion. In the future, we will make announcements for this type of news.
Arthur Porcari: Okay.
Hu Xiaoming: [Interpreted] I have a very high confidence in the renewable energy industry and also very confident in Kandi. That’s the major motivation for me to be part of Kandi’s Board.
Arthur Porcari: So that was from Fen Zhu himself?
Kewa Luo: Yes, yes, the second question was answered by him.
Arthur Porcari: Right. Well, I just think there maybe two tea leaves basically people of this caliber are not like rest to lead the sinking ship. I’m sure, people right now look at the strategic movements last year on the numbers. And then must wonder why as recently as December looked I’m sure Fen Zhu knew what the numbers are going to look like at that point in time, still elected to raise the profile – the Kandi’s profile by joining the Board and he didn’t do that without the approval of Li Shufu. But with that said, we look forward to a better year and I’m sure there’s some very good questions yet to be asked. Thank you.
Kewa Luo: Thank you. [Foreign Language]
Hu Xiaoming: [Interpreted] Thank you.
Operator: Our next question is from Ted Swartz, private investor. Please proceed.
Unidentified Analyst: Yes, I wonder what – has there been change in the status of the subsidies, which erode since 2015, and how much is still load?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] I think approximately so far the government has about over RMB 800 million to pay the JV Company. But we would hope that the four ministers are going to start paying and we are hoping that payment can be delivered before June.
Unidentified Analyst: Before June is that what you said?
Kewa Luo: Yes, before June.
Unidentified Analyst: Okay.
Hu Xiaoming: [Interpreted] Okay. And this would just emphasize that. Stop paying in June, so it’s not everything will pay in one installment. So it’s going to be gradually paid by June. He believes that we, at least, should be getting the remaining subsidy payments for 2015.
Unidentified Analyst: All right. I see that they’re continuing to produce number one cars in the Zhejiang lot and also in Hainan. And I saw that Li Shufu came out with an article in which he said that, he saw the Kandi joint venture has been making future deliveries to car sharing and car hailing entities. Has there been any this year, any deliveries to any other car share, or car hailing companies?
Kewa Luo: Can you repeat your second part that Li Shufu, after Li Shufu what did you say?
Unidentified Analyst: Is that directed. There was an article that indicated that he expected the Kandi joint venture to produce and deliver cars to the car sharing and car hailing industries?
Kewa Luo: Okay. So your question is…
Unidentified Analyst: Pardon me?
Kewa Luo: You said, there’s article mentioned by Li Shufu that Kandi joint venture is producing cars for the car hailing services. And what are you trying to ask?
Unidentified Analyst: Yes, he’s – it said that he said was that they should be producing – they will be producing cars for the car sharing and the car hailing industry. And I saw they’re producing the K12s. And I was just wondering, they made any deliveries this year to the car sharing or car hailing industries like either DV or Kao Kao that Li Shufu raised $600 million for in Zhejiang?
Kewa Luo: Okay, okay, so I understand. [Foreign Language]
Hu Xiaoming: [Interpreted] The right hailing car service in China actually still a kind of grey market. So among all the players, An Kao Jinhua is probably the only one legit cars of its company in China that is approved by the government. And most likely that we’re going to work with them and we have already started the discussion for the potential partnership. So I believe that An Kao Jinhua is going to grow in popularity more comparing to DiDi Jinhua.
Unidentified Analyst: All right. Thank you very much.
Kewa Luo: Thank you.
Operator: Our next question is from Steve Miller, private investor.
Unidentified Analyst: Hello.
Kewa Luo: Hello.
Unidentified Analyst: Hi, Kewa, I have a series of questions on the recently announced purchase of Jinhua An Kao Power and I apologize for my pronunciation. My first question is, was there a facility with production in a recycling facilities involved with the purchase, or it can be only purchased in electrical property. And if there was a building involved, can you provide the actual physical address?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] According to the purchase agreement with An Kao Kandi Vehicle acquired Jinhua An Kao entire An Kao’s equity interest located in Jinhua industry park. Jinhua An Kao has a very unique system of Pure Electric vehicle battery replacement technologies in the production lines, which I believe will help enhance Kandi’s quick battery change offering to be at the next level in the market.
Unidentified Analyst: So that purchase did include actual buildings production, recycling, et cetera and what – can you give me [indiscernible]?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] And Jinhua An Kao didn’t own a facility. So after we acquired them, their production lines were moved to our Zhejiang facility – our own Zhejiang facility.
Unidentified Analyst: All right. And then next question is, how many employees does Jinhua An Kao have? And of that number, how many are in manufacturing and how many are in R&D?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] And currently there are over 80 employees, about 30% are in R&D, so rest are in manufacturing.
Unidentified Analyst: Okay. Next question is, does Jinhua An Kao actually produce the battery cells or as the cells themselves sourced from elsewhere?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] An Kao is primarily engaged in the battery cells manufacturing and the battery replacement technology. So those two are their primary business.
Unidentified Analyst: So they’re actually producing the battery cells?
Kewa Luo: Yes.
Unidentified Analyst: Okay. And final question related to it. Is the purchase generating revenues and how soon before the company expects the acquisition to be accretive to earnings?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] After completed the closing of the acquisition in January, the financials would be consolidated. I think, probably in the first quarter this year, they are already – their financials would be consolidating our book.
Unidentified Analyst: All right. Thanks very much.
Kewa Luo: Thank you.
Operator: Our next question is from Harold Gaborit with [indiscernible] Please begin.
Unidentified Analyst: Hello, everyone. Management told shareholders last year that Kandi was next in line for its JV to get its own manufacturing license. What is the current status and expectation of getting a JV manufacturing license soon? Thank you.
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] On January 19, I visited the national development and we formed commissions to learn about the status of the JV Company manufacture license application, because now the government is reviewing and revising the renewable energy policy. So the approval process that has been temporarily suspended. But, however, the government promised us that JV Company is giving the priority to receive approval upon the processes resumed. I think that we should be getting the license very soon.
Unidentified Analyst: Thank you.
Kewa Luo: Thank you.
Operator: Our next question is from Mike Pfeffer with Oppenheimer. Please proceed.
Mike Pfeffer: Thanks for taking my question. On the last conference call regarding the three largest multi-year contracts totaling 140,000 over $2 billion were still valid, but had been delayed due to changing government requirements. Three-part question, I’ll just give you the first one. Is the agreement with Jinhua Kao to sell 50,000 vehicles still valid and active. And if yes, how many vehicles Kandi sell to Jinhua Kao in 2017? How many vehicles does Kandi expect to sell to Jinhua Kao in 2018?
Kewa Luo: Okay. You’re referring to those three agreements last year – signed last year, right?
Mike Pfeffer: Yes.
Kewa Luo: Okay. [Foreign Language]
Hu Xiaoming: [Interpreted] Let me answer you to cover all these three agreements. These three agreements are very similar to each other. They’re actually are just three more agreements. Like you said, there have been some subsidy policy changes. So it certainly has impacted this agreement. However, we think that since these agreements are – have a longer-term time period, they’re still valid. And we believe that we’re going to be able to sign the sales agreement later on once the policy is more clear. And also this depends on the local policy as well and different places have a different policy to encourage the business. I believe that it’s not going to have a large valued sales. However, there will definitely be certain numbers of sales after we sign the sales agreements, and by then we will update the market.
Mike Pfeffer: So, just do you think there will be sales in 2018?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] I believe there are some.
Mike Pfeffer: Okay. Thanks.
Kewa Luo: Thank you.
Kewa Luo: Operator, we can take next question.
Operator: Our next question is from Mark [indiscernible]. Please proceed.
Unidentified Analyst: Yes. Good morning, everyone. First, comment and then couple of questions. Last month, BAIC new energy vehicle company, a company that can be joint venture outsourced about 40% in 2015 was co-founded by Chairman You Min and new Kandi Director appointed early 2017 announced the completion of second private equity placement now totaling almost US$2 billion and both gaining Shanghai’s public exchange listing by reverse merger with IPO valuing the stock initially at IPO of over US$4.5 billion. While the AIC did four times as many of these than Kandi in 2017, the difference in market cap 17 times higher than Kandi’s $250 million is out of synchronization considering both of the small sale numbers. Kewa, can you please translate that and then my two questions will follow?
Kewa Luo: Okay. Thank you. [Foreign Language] Go ahead.
Unidentified Analyst: They’re my first question. Mr. Hu told shareholders that investment delineation of Kandi has been completed. More specific name investors to include and out of top 10 billionaire valuing the company at that time around $600 million, or $12 per share. This before any EV were even sold by mid-2017 in spite of no sales in the first-half since some 40,000 EVs were sold 2017 now after that appraisal was made. Would you think the $600 million can be valuation has gone up now or about or is about the same?
Kewa Luo: Okay. Just to correct you, last year we had about over 11,000 EV sold…
Unidentified Analyst: Yes, 11, yes.
Kewa Luo: Yes. [Foreign Language]
Hu Xiaoming: [Interpreted] Kandi started to resume the production since the second-half of 2017 and gradually becoming comparable. Therefore, I remain optimistic about Kandi’s performance in 2018. As all you can see, Kandi’s current value is very much underestimated and we are going to have to pure result activities this year to boost ourselves. And I believe that – and our value is going to be increasing accordingly.
Unidentified Analyst: Okay, very good. And my second question is, joint venture is still on fastrack of going public, and if so, will it follow the brilliant BAIC model of exciting the market by bringing in the high profile private investor growth.
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] The JV Company’s plan of going public, it always on our agenda. Our goal is to unlock the desire to the maximum. But under what kind of strategies, we will be utilizing is still in a discussion. We will keep you updated once we have a feasible action plan.
Unidentified Analyst: Very good. Thank you very much for answering my question.
Kewa Luo: Thank you.
Operator: Our next question is from Frank Vladermann, private investor. Please proceed.
Unidentified Analyst: Yes, good morning. Can you hear me, okay?
Kewa Luo: Okay. Based on this Morningstar press release, first clarification was the K23 replaced by the EX3. Are they going to be two separate models produced?
Kewa Luo: It’s K23 – I’m sorry, it’s K23 replaced – can you say one more time?
Unidentified Analyst: Yes. Is the K23 been replaced by the EX3, or are they going to be two separate models produced?
Kewa Luo: Okay, okay. [Foreign Language]
Hu Xiaoming: [Interpreted] Okay. K20 is the model K23 and EX3 are two different type of cars. The EX3 is SUV and K23 is a four-door passenger car. So they are different.
Unidentified Analyst: Okay.
Hu Xiaoming: [Interpreted] The K23 is going to be marking the right hauling service market.
Unidentified Analyst: Okay, excellent. A couple of other quick questions here. I’ll keep them fairly short. What car models…
Kewa Luo: Okay, go ahead.
Unidentified Analyst: What car models are presently in production and would have been approved, but not already in production at this time?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] Okay. Right now for the first-half of 2018, there are K12 and K17 are in the production. And in the second-half will be K22, K17, EX3 and K23. And both K12 and K17 are already having the – are already including the directory – approval directory. EX3 and 23 are in the application for the directory approval.
Unidentified Analyst: Excellent. Okay. What is the anticipated initial run rate of the factory in Hainan and how many employees will be used for production?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] For Hainan facility, we have 100,000 capacity. But, of course, at the start, we are going to start at 5,000 depending on the demand.
Unidentified Analyst: Okay. How many employees will the factory utilized in the very beginning?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] The number of employees is solely based on the production, obviously, the production is. For now, we only have about 100, and we’re expecting to have 500 for this year. And for next year, once the growth is picked up – the sales picked up, there will be increasing number of employees.
Unidentified Analyst:
?:
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] According to the original agreement, this facility will be injected into a JV Company. However, the detailed procedure will be started planning after the facility formally start this production. So all the related terms will be discussed afterwards.
Unidentified Analyst: Okay, that makes sense. How soon [indiscernible] the Kandi expect to receive $14 billion third installment from the hands of government for the factory construction and the development of the K23?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] According to the agreement we have signed, the grant will be in the application process within seven days after the product launch. So which is going to be a week after March 28, so we can start the application for the grant. I think probably going to be sometime end of next month, we should be getting the payment.
Unidentified Analyst: Excellent. Thank you very much for the information. I’m pleased to thank Mr. Hu for taking my questions to give a good answer.
Kewa Luo: Thank you very much. [Foreign Language]
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session. I would like to turn the call back to management for closing remarks.
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Interpreted] Thank you, ladies and gentlemen, for attending today’s meeting. Allow me to represent the Board of Directors and the management team of Kandi Technologies Group to reaffirm our commitment, but we’ll continue to work diligently to maximize shareholder value by focusing and growing our EV business strategically, while delivering strong operational results. Thank you very much for understanding and support. We look forward to talking with you again in the next meeting. If you have any additional questions, please don’t hesitate to contact our investor relations person. Goodbye.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.